Natalie Smith: Okay. So I think we can probably get things moving out. So welcome everyone. Thank you very much for joining us this morning for the Q1 2022 Earnings Call. My name is Natalie and with me today, I have our CEO, Miriam Tuerk and our CFO, Farrukh Anwar. So just a few housekeeping notes before we get started. If you have some questions, we would love your questions. So please put those in the Q&A at the bottom of your screen and I'll track those and we can ask them at the end and if you have any technical difficulties throughout the presentation, please just send me a message through the chat and I will try to help you if I can. So today I'm going to hand things over to Miriam to get things started.
Miriam Tuerk: Good morning, everyone. Welcome to our Q1 2022 earnings call. Today we're going to provide you with our best ability and view of how Clear Blue was doing, how things look going forward in this current macroeconomic environment, and specifically to Clear Blue's business environment. But please always remember that these are forward-looking statements and there is always some degree of uncertainty as relates to that information. Today as we frequently do, we're going to go over Clear Blue, its business and its markets. We're going to discuss our results for Q1 and then we're going to give some view in terms of our future outlook. So hello, Farrukh. Thank you for joining us once again. Farrukh is our CFO, as you may know, and he's been with the company now for about a year and a half, and we are very thrilled with the progress we've made from an operational perspective and a finance perspective by having him on board. Good morning, Farrukh.
Farrukh Anwar: Good morning. Good morning, everyone.
Miriam Tuerk: So in terms of what Clear Blue is all about, we're all about small power. Most of the world focuses on something called microgrid. So when you see a big solar plant on the side of the road, or on top of a building, those projects are microgrids. Clear Blue's products are called nanogrids and Pico-Grids because they are focused on smaller power applications that are mostly industrial and commercial in size. So they still support mission-critical loads and mission-critical applications. But we are specifically focused in the nanogrid market, and that makes us very unique and different from almost every other clean tech solar company that you will see in the marketplace. So when you look at mission-critical applications, whether it's solar streetlights or smart city infrastructure, whether it's telecom infrastructure from a satellite Wi-Fi microwave perspective, or whether it's internet access and connectivity for satellite Wi-Fi, or for internet of things devices, power consumption has gone down. We're getting much more efficient at the power that these devices are using. However, they are still critical to our infrastructure and in fact, more and more today as the world is much more electronic and dependent upon these technology efficiencies, they are becoming much more critical in the marketplace. So the need that we are filling is the ability to deliver easier, lower cost power infrastructure and we do that by basically eliminating dependence on the electricity grid, which is not that resilient anymore, even when you're looking at markets where they were previously perceived to be highly reliable like North America and today we have in Ottawa, Ontario and Peterborough, Ontario, still people who have no power. So the concept of having one electrical grid that everything is connected to just doesn't fly anymore and smart off grid power provides that grid independence and grid resiliency, but as with an electric vehicle that runs off of a battery and you can't add gas, solar off grid systems have limited energy and so having the technology and the predictive analytics and the smarts to deliver reliable power with that off grid solar system is a critical need of these applications. And that's what Clear Blue is all about. We bring that power, reliability and advanced management and through that, we enable growth and expansion of our -- of the world's smart infrastructure in a way that would not be possible without our technology. So Clear Blue delivers smart off grid, wireless power and basically what we do is we sell an off-grid power system. It's an entire electrical power system. It's got the energy generation and solar, it's got energy storage and batteries and then it's got our proprietary technology, which is the braids, the electronics, power and control. Every site we deploy anywhere in the world and we're in 37 countries and have almost 10,000 systems deployed, we manage and operate those systems. So we're delivering energy as a service. We not -- don't just sell the hardware, we operate and manage these systems for our customers and we do it to support minimal -- sorry, mission-critical devices. Our core technology is the brains of the system, and it consists of two key components. The first is we make a small box, we call it a controller, the size of a Kleenex box, and it has all of the power, energy generation, energy storage and energy load powering capabilities of the system, coupled with basically edge computing and communications to make it a very smart device. Every one of those systems everywhere in the world today communicates wirelessly with our central integrated cloud platform and through that cloud platform, both we and our customers, and we do it almost 98% of the time we run the service for our customers, so we operate it. We manage and operate that system for the customer. We use sophisticated data analytics and predictive data capabilities in order to assure energy performance and operation and make sure that everything works. So what does that result in? So this is a picture of a Clear Blue system on the right and a typical system, this is a newly installed system from the last year system on the left, and you'll see a couple of big differences. The first is that the system on the left is highly complicated. It's not well designed for small power. You'll remember that chart that I showed you at the beginning, where we are nano and pico. These systems are big, complicated, require a lot of manual intervention, you've got to switch the breakers and wire everything together. We've taken all of that, and we've put it in our smart off grid controller and you can see that this system has four of them. This little box here replaces everything that you see on the right hand side and more, and through this device, we make it very simple and easy to install, no super knowledgeable trained technician required in order to install or operate the system and more, especially no in-person management. There's if you send a technician to this site, there's nothing he can do because all of the breakers, all of the remote switching, all of the configuration setups and every battery has a different profile and every solar panel has a different profile and every load has a different profile. All of that configuration and setup is done remotely and electronically. But the bigger thing that is more interesting is that the system on the left requires 40% less power sources. So we're talking less batteries and less solar than the system on the right. And when you can eliminate the number of solar panels you need, and when you can eliminate the amount of battery energy storage that you need, you deliver a very compelling cost savings. So the system on the left might be something like 20 solar panels than eight batteries and our system will be something like 12 solar panels and three batteries. And in the current economic times, the ability through technology and innovation to deliver material cost savings in upfront CapEx and ongoing OpEx is something customers are keenly interested to do. And so from our perspective, our business outlook and the opportunities and the demand in the marketplace have not changed because of what's been happening in the macro environment. The last point that I will make on this is that the system on the left, because it doesn't have predictive analytics, it doesn't have the ability to operate reliably off of a solar-only system. So instead of being a completely electric vehicle, that's a 100% electric like a Tesla, the system on the left, even if it's solar is going to have to be hybrid, you're still going to need gas to supplement your solar because you can't predictively reliably manage power through all the energy changes that in energy source changes that you have throughout the year in any part of the world. So a little bit more about our intelligent power management. The software platform we use is called Illumience and a couple of the key things that we do are first of all, energy and weather forecasting. If today we have a dark cloudy, rainy day in the rainy season in Nigeria or it's a snowstorm and a dark rainy day in Boston, Massachusetts during November, December, when it's very gray and dark, through our energy and weather forecasting ability where we can see how much energy this system has, we can look at how much we think it's going to be able to produce over the next few days and marry that against the weather forecast for that area. We have the ability to manage through difficult periods. Maintenance, troubleshooting and remediation is something that we hope the customer never has to deal with, but it gives us hugely powerful tools, the ability to fix things, to troubleshoot things, to remotely diagnose things and just repair it for our customer, oftentimes really avoiding a problem as opposed to fixing a problem. Battery life cycle management is all about how much energy we have? Will I make it through the next four days from a short term reliability perspective, and will this system last five or 10 years or is my battery going to die in 12 months? And I've blown my OpEx out the window. And then the last is unique to Clear Blue, our ability to forecast potential energy. So if we have a customer such as IHS Towers in Nigeria, who might want to turn their radios up and transmit more service level from a higher telecom capability, they'll come to us and say, hey, how much energy is left in the tank? Is there available energy for me to do more than what the system was actually designed for? So Clear Blue is different. Number one, because we deliver the lowest TCO capability. The upfront cost of our system is 40% lower than a comparable solar off grid system. Our ongoing operations is much lower as well. Sorry, I hit the button too quickly there. Apologies, go back. Slide do, as I ask, thank you very much. We have energy and weather forecasting with remote troubleshooting and tools. And the last piece, which is very important is we have a service team that actually operates and manages the systems for our customers. Through the value of that, Clear Blue has global brands that our customers and this list of customers is just something that we are very proud of. For those of you who know me, you'll know that I've got a bit of experience under my belt and to get this type of customer list is something that other companies wish for from -- and work hard for. The reason we've been so successful is because we took a very different approach and we have unique technology and have MTN and launch and meta, which is Facebook and Boston Scientific and Route 347, New York Department of Transportation, City of Toronto and Hamilton. All of these customers are our customers. They're global brands and not only did we sell them a system, but we continue to operate and manage a service for them on a go-forward basis. That has resulted in strong global traction. We should update this graph. My apologies, we didn't upgrade the number of units deployed. We'll have that on the slide and the website when we get it updated and fixed today. But basically one of our biggest and strongest competitive advantages is the historical data that we have. We've processed more than 10 billion cloud transactions. We've got more than 8.7 million days of operation and more than 9,600 units deployed in 37 countries around the world with hundreds of customers. And this gives us a traction that no customer, no matter how big -- no competitor, no matter how big or small they may be when they -- when, and if they decide to launch a capability, the same as what we would have or close to what we would have, we are ahead of them. And catching up to us is something that will be very difficult because it's the data and the history that makes us smarter and smarter and smarter. So one of the things that we did after the quarter ended and you've heard me talk about the satellite Wi-Fi business for the last year a bit is we launched our new product, which is our Pico-Grid product and I want to spend a few minutes just telling you about that product so that you're aware, because we're very excited about what this product means to us for a number of reasons. The first reason is that this is a huge market. The satellite global internet market was estimated to be almost $3 billion in 2020, and it's growing to reach about $18.6 billion by 2030. The reason for this, as you will all know is that, Elon Musk and Starlink and ViaSat and Hughes and Amazon and Google, many, many, many companies are launching new satellite service offerings because the satellite technology has moved from very expensive and slow speeds to very inexpensive and high speeds. I have a new Starlink system at my -- at my cottage and in remote area of Northern Ontario water access by a boat and instantaneously, I have faster internet services. I can stream systems, I can do four or five zoom calls through that service with no problem at all and the ability to do this in a cost-effective matter means that you can now get reliable telecom infrastructure to the three billion plus people who do not have reliable internet access in the marketplace. However, most of the places, even my own house, which could have the hydro go out, ha don't have reliable power. And so delivering a solar off grid, very reliable managed power module together with those satellite Wi-Fi or IoT applications is the critical requirement of the marketplace and it needs to be simple and easy ships in a box, a small 12-inch by 12-inch box, easy to install and managed for the customer, both the satellite service provider, as well as the end customer. And that's what Pico-Grid is all about. We call it Pico-Grid because it's the next order of magnitude size down from nanogrid. And I'll show you an example. So this is our Co-Founder John Turk, our Chief Power Officer at ViaSat and you can see an image here of our Pico-Grid product. Our new Pico-Grid product is the first install pilot. The solar panel is actually not in the picture, it's on the ground, but this is our new Pico-grid product and this little box here replaces everything that is in this big box behind it. So in this big box behind it, this cabinet, you've got a couple of batteries. You've got a charger, you've got a 48, 24 volt converter. You've got a 24 volt, 12 converter. You've got a POE injector, a bunch of technical equipment that is used to power three or four, very low power devices. And so what we've built in Pico-grid is all of that in a small integrated system. So this little box here actually includes a battery. It's got lithium cells and we've got the BMS capability. It includes all of the charge control capability. It's got all the remote management smarts and capabilities even more than what we have in all of our other products. So it will be managed by Clear Blue and operated by Clear through aluminium cloud service, with all the predictive energy forecasting and potential energy analysis that we do for all of our other customers. And it can support three or four anywhere from one to four different small loads. So a little Wi-Fi access point, a small IoT measuring device and it is a completely packaged in a single box that can ship anywhere in the world. So we believe that there's going to be significant demand for this product. It's going to be a much more off the shelf packaged, self-service module than our nano-grid, where every project needs a little bit of engineering and more handholding, and we see significant demand in the marketplace for it. What we are very excited about the fact -- is the fact that we were able to announce ViaSat as a first seed customer with this product. So we've been working with them for a while. And as you would've saw in the last couple of weeks, we announced the first rollout of their community internet. So they have a new satellite service coming online called ViaSat 3. They plan on addressing that three billion people underserved internet market with ViaSat-3 and delivering something called community internet services and those community internet services need the power product, and we've been working with them to develop Picogrid for that market. So now I'm going to move into our 2020 results and turn the first piece over to Farrukh. Farrukh, can you take it from here and talk about our revenue?
Farrukh Anwar: Yeah, for sure. Thank you, Miriam. That was pretty impressive. All right. So revenues and guidance step change. So Q1 2022 was a strong first quarter for Clear Blue. Historically, our Q1 has always been 6% to 9% of annual revenues. So Q1 2021, the previous competitive quarter had a very large order, including a one-time tower order, which made it an outlier against the historical norm. But when compared to our historical norms, Q1 2022 showed significant growth and would fall in line with the guidance for fiscal 2022 of about $10 million in revenues. So you can see the table that we have up on the screen. You can see Q1 and the annual revenue. So historically Q1 was 6% to 9%. And then you can see where we are at in 2022. If you take out the outlier from 2021, we still are projecting around $10 million revenues. So because of that Q1 2021 outlier trailing four quarter revenue was actually down compared to the previous period at $5.9 million. Next slide please. All right. So our sector and regional results, so on a trailing four quarter basis, our telecom vertical has grown significantly over the past few years with $4.58 million for the trailing four quarter ended March 31, 2022. While the revenue for this vertical is a solid growth metric, the negative variance is mainly due to a significant initial deployment of a customer in Africa, in the comparative period. Excluding the impact of the initial deployment revenues have improved in this vertical significantly. On a geographical basis, Middle East Africa has performed extremely well, which mainly comprises of our telecom business and has moved in line with the movement in the telecom vertical. Next slide, please.
Miriam Tuerk: So bookings are up about 32% from year end. So in 2020, we began reporting our bookings at the end of each quarter to provide as much information as we can to you, our investors. We define bookings as all of our future contracted IANS and EAS deferred revenue, as well as committed orders and contracts projects, where we have purchase orders and/or deposits and of course, which are not included in revenues. At the end of Q1, our bookings were up 32% from year end to a total of just over $2 million and $1.5 million of that will be delivered in the next year with the remaining thereafter.
Farrukh Anwar: Awesome. Thank you, Miriam. So gross profit. So gross margin for the quarter posted a nice high margin of 41%. For the trailing four quarters, the margin was 34%. On a trailing four quarter basis, the company has registered an improvement in gross margin from 27% to 34%. The company has been making significant efforts in R&D all of which have supported improvement in gross margins. However, as we know, there are significant supply chain and logistical challenges in the global market right now. So management expects that margins in the near term will be in the low thirties growing to the mid high thirties over time. Next slide please. So operating expenses; during the previous 2021 comparative period, the company had COVID-19 related grants from the government, which contributed to a reduction in operating expenses. As a result, expenses appear to have increased significantly over the previous period. Other notable increases for the quarter are due to amortization of intangibles related to the completed R&D projects and higher traveling -- travel marketing related expenses that occurred in Q1 2022, as customers returned to more in-person meetings and conferences. When these COVID grants and R&D amortizations are normalled out, operating expenses actually increased by $167,000 or 13% for the quarter. The increase in operating expenses is in line with increased business activity and related revenue growth for the quarter and trailing fourth quarter ended March 31, 2022. Company's salaries, wages and benefits have increased due to lower government COVID-19 subsidies as well as higher headcount to manage increased business. Next Slide, please. So adjusted EBITDA. So for Q1 2022, EBITDA loss remains consistent for the trailing four quarter at around $3 million. While for the quarter, the decrease in EBITDA is 104% due to lower gross profit resulting from lower sales as well as some increases in non-IFRS operating expenses have registered modest increases. So you can see over here that although our revenue reduced for the quarter, reduced by 65%, but because of higher gross margin for the period, the gross profit actually just reduced by 32% and just some -- as I said earlier, so our operating expenses are slightly higher. So non-IFRS operating expenses slightly increased. So that's why we can see for the quarter, a 104% decrease in adjusted EBITDA.
Miriam Tuerk: When you look at the trailing four quarter ended in March 31, you can see that the 2022 trailing four quarter is $5.9 million versus $7.2 million. And so there's an 18% delta in the references of the periods but the non-IFRS adjusted EBITDA is only down 3% -- sorry, 3% again, because gross margin has gone from 27% to 34% and expenses in the period are almost totally flat, only $5.10 million versus actually they've gone down $5.10 million versus $5.44 million. So generally, what you can see is the profit generated from the revenue that we receive is going higher and higher. And as we move forward through the rest of this year, this year is expected to be more normalized in terms of revenue as we're forecasting about guidance is around $10 million. The improvements in margin and keeping OpEx relatively flat, if not down, it bodes well from an adjusted EBITDA perspective. So in terms of the quarter, from a summary perspective, we feel that we're positioned for another growth year. Our Q1 results are actually the second highest in history. They support our guidance of around $10 million and gross profit is very strong. It supports our gross margin guidance of being in the low 30s for the next 12 months, even taking into consideration all the challenges we see in supply chain and logistics. We announced a number of partnerships in the quarter. A new partnership with YahClick an MOU with iSAT for $2 million, selected partner by GCS, we've been working with for a number of years now. In addition to that, we launched some new products for our Illumient business, and that was just to the end of March. From an outlook and guidance perspective going forward, we do see that 2020 is poised for growth. Subsequent to the end of the quarter, we announced ViaSat, which was very exciting and key strategic partnership for us. We are going to be the smart solar offered provider for community interconnect, what we announced is the first rollout for their initiative in Nigeria. We launched our new Pico-Grid product. It's currently in field trial mode. We are hoping to be able to start shipping commercial versions of the product, hopefully, in Q4 might be in Q1, but around the end of the year. We had a Bloomberg interview a few weeks ago. And I was very honored to have been asked to join had only 5 or 6 minutes, but we had a very strong reaction in the stock market. And I think that it just shows you the level of interest and support we have in the market and the fact that the current stock price is really reflected based upon the macroeconomic factors, not really company factors. Additional to that, we announced yesterday and previously we did, subsequent to the quarter closing, secured a small funding round to improve our cash position. We did it in two tranches with a non-brokered private placement. Total proceeds were $1.6 million. In this difficult market, we were thrilled to have been able to get that support from our current investors and a number of new investors, and we thank each and every one of you for your continued support for Clear Blue. In terms of our outlook, we think 2022 is still going to be a solid quarter. We do see the strong macroeconomic headwinds, and we are being pragmatic to understand that there may be impacts to our business. Smart off-grid solar is a great market to be in during this market downturn. Our product delivers a significant and compelling cost savings to our customers. And in these macro headwinds, the focus on that benefit is significant and is driving continued demand for Clear Blue in the market. Our products support mission-critical infrastructure, telecom, cell communications, satellite WiFi and public sector infrastructure projects. And these are all strong sectors that are continuing to move forward in the marketplace. Our forward fourth quarter guidance continues to project growth with around $10 million in revenue. We have good financial stability moving into Q2 with gross margins targeted 30% to 35% and improved pro forma cash position. We have done a small rightsizing to reduce our ongoing expenses. And the net result of that is a reduction of about $70,000 a month in our burn rate. And we have more new products on the horizon for both Illumient as well as the official launch of our GA version of Pico-Grid. We already have a number of early orders and field trials for -- with key customers in 2022 for Pico-Grid with more demand there. We're actually having to tell the marketplace to hold while we complete the product. So it's not the market demand is there, and we just need to get the product finished. So with that, I'd like to now open it to any questions. As Natalie said at the beginning, if you have any questions, please post them in the Q&A box, and we will attempt to answer them. And as always, you can reach out to me, Sofias our IR partner. They've been working with us for almost a year now, and I think it provides us with great guidance on how to improve our communications to the marketplace. So at any time, I would also encourage you to reach out to Nick if you have any conversations you'd like to have. Natalie, do we have any questions?
Q - Natalie Smith: We've got a couple of questions here. So the first one we've got is what does the future hold for Clear Blue with regards to M&A, specifically what types of companies would be complementary to Clear Blue product offerings.
Miriam Tuerk: So I've always said that the decision for this company to go into the public markets gave us access to capital. And it would behoove us to use that. There is significant opportunity for us at the right time with the right deal and the right deal is a critical thing to grow through M&A. Most of our competitors who may have a product in a new vertical or slightly different up to the value chain or down the value chain do not have the ongoing as-a-service business model and value proposition that we have. So if and when we do an M&A transaction, there is significant value to be unlocked by bringing our technology, our value proposition, our business model to other businesses. We have been looking at M&A transactions for the last 2 years. We -- I call it dating before you get married. And obviously, we've not announced anything because nothing has worked out. We continue to look at M&A transactions. And we generally look at M&A transactions, which will allow us to expand into new markets expand with potentially new products or new pieces to the supply chain. When you go back to that first slide I showed you where you said were micro-Grid -- where the other market is micro-grid, and we're Nano- and Pico-Grid. We're very focused in that market, but that's a huge market, and there's lots of opportunities. So there might be an acquisition that has some pieces of that, that we don't have yet today or it would allow us to move up and down the value chain in terms of the solutions we provide to our customers. So there are a myriad of opportunities. We continue to look at some of them without taking our eyes off of our own opportunities and our own growth path, and we do expect at some point that we will have a successful transaction that we think is a significant accretive value to our shareholders. And if and when that happens, we will be announcing it moving forward.
Natalie Smith: Thank you, Miriam. So the next question is probably for Farrukh, I guess. It is how should we think about the company's cash position?
Farrukh Anwar: Thank you, Natalie. So our cash position is much stronger today than it was at the end of Q1. So I just wanted to give you a little bit of context. Since the COVID pandemic started, we've successfully grown our business with a cash balance ranging from around $450,000 to $3.5 million. So we've done this by taking managing our cash cycle. Even during tough global economic challenges and supply chain managers and shipping issues, we still managed to manage our cash. We've ended up Q1 with around $450,000 of cash. Since then, we've successfully announced 2 tranches of a non-brokered financing for gross proceeds of around $1.6 million. And we've also completed this financing during a very tough period, as you all know, in the market, which speaks to the confidence investors have in our business.
Natalie Smith: Okay. Thank you. Following up on that, what gives you confidence that you can navigate the current tough economic environment with your current balance sheet without raising more capital in the market.
Farrukh Anwar: Yes. So we've got a strong balance sheet. So if you've got around $3.3 million of inventory, which a majority of which is like finished cuts. So also, we've also recently undertaken an expense, as Miriam mentioned, an expense management -- management exercise to reduce our expenses, our operating expenses and that has helped us in reducing our cash on. Employee headcount has been reduced through natural attrition and some restructuring management and the number of employees have accepted cash reduction -- cash reduction compensation in exchange for equity. Our innovation and R&D efforts, which have been built into our product have also helped us in operating -- in saving operating costs. These activities will bring down company to a positive EBITDA at a lower revenue threshold than previously planned, which we have communicated in November 2021 to be around $15 million to $20 million annual revenue level. So with this, all of these measures, I think we are poised to have a positive EBITDA at a lower revenue level. Thanks, Natalie.
Natalie Smith: Miriam, I think this is probably for you. Can you help us understand your near-term revenue trajectory?
Miriam Tuerk: So in terms of the revenue forecast, I think, first of all, we all have to take into consideration the current macro market pressures and what's going on in the market. Our sales funnel has not reduced. It's strengthened. We still have all activities with all of our customers moving forward. So we're comfortable with revenue guidance of around $10 million in revenue for the next four quarters. We had previously said we had expected 2022 revenues to exceed $10 million. But with the current economic uncertainty, we still believe we have a good line of sight for around $10 million in top line on a forward-quarter basis. It's important to keep in mind, we have not lost any projects. And it's just a function of customers are placing more smaller orders in this environment. They're being more cautious. And also, we at management here are adjusting our outlook just based upon the current macro environment to make sure that we're communicating well to the marketplace.
Natalie Smith: Okay. Thank you. So the next question here is you previously indicated that a large order could be announced in Q1. Can you provide an update on that?
Miriam Tuerk: Yes, yes. So we have not lost any projects to competitors, and none of our projects have gone away. But that being said, we do see customers moving more cautiously. They're parceling out their projects in a smaller way and spending their capital by breaking them into smaller, more frequent phases as everyone begins to move more cautiously. So we had previously expected a large order in Q1 of this year. And we now see that, that order and others that we had in the funnel that had the potential to be very large, has been broken down into smaller multiple orders, some of which all still ship in Q1, but just didn't result in us being able to announce here's this large purchase order.
Natalie Smith: Okay. And then back to the financial side, how should we think about your margin profile?
Farrukh Anwar: Thanks, Natalie. So trailing full quarter gross margin has increased to 34%, up from a gross margin of 27% in 2021. We continue to expect that for the next few quarters, gross margin will be around 30% to 35% range. In the medium to long term, management expects that the gross margin to be higher in around 33% to 38% range. Gross margin, like our revenue should be looked at on a trailing 4-quarter basis. Since we have reduced our cost structure and cash burn, we expect a lower level of revenue can bring us to EBITDA breakeven compared to the $15 million, $20 million, as I said, revenue level. we've had provided to the investors around $15 million to $22 million guidance in the past, but we are continuously trying to reduce our costs and expenses and recent cash burn. So that's why I think with this, it's going to help and reduce our -- bring us to a positive EBITDA sooner.
Natalie Smith: Thanks, Farrukh. Okay. If anyone else has any additional questions, you can put them in the Q&A now or you can follow up with Miriam or SokaCapital later? I'm not seeing any additional questions come in. So I think with that, we will start to wrap things up here. So thank you very rich. Everyone who joined us today, the recording and the presentation will be available on the website later today. And thank you, Miriam, thank you, Farrukh, for providing some great insight on Clear Blue's future.
Miriam Tuerk: Thanks, everybody.
Farrukh Anwar: Thank you, everyone.